Operator: Ladies and gentlemen, thank you for standing by. Welcome to the Copa Holdings' First Quarter Earnings Call. [Operator Instructions] As a reminder, this call is being webcast and recorded on May 6, 2021. Now I will turn the conference over to Raul Pascual, Director of Investor Relations. Sir, you may begin.
Raul Pascual: Thank you, Tamika, and welcome, everyone, to our first quarter earnings call. Joining us today are Pedro Heilbron, CEO of Copa Holdings and Jose Montero, our CFO. First, Pedro will start by going over our first quarter highlights and the actions the company has taken to mitigate the impact from the COVID-19 pandemic, followed by Jose, who will discuss our first quarter financial results in detail. Immediately after, we'll open the call for questions from analysts. Copa Holdings' financial reports have been prepared in accordance with International Financial Reporting Standards. In today's call, we will discuss non-IFRS financial measures. A reconciliation of the non-IFRS to IFRS financial measures can be found in our earnings release, which has been posted on the company's website, copa.com. Our discussion today will also contain forward-looking statements, not limited to historical facts, that reflect the company's current beliefs, expectations and/or intentions regarding future events and results. These forward-looking statements involve risks and uncertainties that could cause actual results to differ materially and are based on assumptions subject to change. Many of these are discussed in our Annual Report filed with the SEC. Now, I'd like to turn the call over to our CEO, Mr. Pedro Heilbron.
Pedro Heilbron: Thank you, Raul. Good morning to all, and thanks for participating in our first quarter earnings call. Before we begin, I'd like to thank all our coworkers for their commitment to the company and recognize their continuous efforts and dedication to keep Copa at the forefront of Latin American aviation. To them, as always, my utmost respect and admiration. In our last earnings call in February, we advised of deteriorating demand patterns and expressed concerns over what appeared to be new infection waves across many countries in our region. Since then, we faced two diverging themes in our network. On the one hand, in the US, Panama and a few other countries, we're seeing a downward trend in infection rates, which has led to fewer travel restrictions and an uptick in demand. On the other hand, several countries in Latin America continue to struggle with the virus, leading many to re-impose their travel restrictions and/or new health requirements, affecting demand for international travel and, in many cases, leading to a reduction in our planned capacity. However, we're hopeful that, as countries in our region continue taking the necessary actions to control this health crisis, we should start seeing a more robust recovery, fewer restrictions and improving traffic patterns. Now, I'll highlight some of our first quarter results. In terms of capacity, we reached 39% of first quarter 2019 ASM. Load factor improved from 63% in January to 75% in March, leading to an average load factor of 69% for the quarter. Our revenues increased by 17% over the previous quarter to $185 million as a result of additional capacity. This additional capacity also allowed us to bring down our ex-fuel CASM from $0.134 in Q4 to $0.085. We reported an operating loss of $77 million in the quarter, 16% better than the adjusted operating loss of $95 million reported in the fourth quarter of 2020. In terms of our liquidity position, we increased our cash balance to $1.2 billion and our total liquidity to over $1.5 billion. This was driven by extraordinary net proceeds from aircraft financing and asset sales. Our cash consumption, excluding the previously mentioned proceeds, but including CapEx and the payment of all financial obligations, was $23 million per month. That was better than expected due to higher sales, mostly for travel in the second quarter. In terms of our operations and despite the incremental complexity imposed by the biosafety protocols, we're pleased to report an on-time performance of 95% for the quarter and a flight completion factor of 99.3%, which is a true testament to our employees' laser-focused commitment to providing a world-class product to our passengers. So, we are proud to be back connecting the Americas with the industry-leading operational standards our passengers expect from us. Subject to demand and air travel restrictions in the region, in June, we plan to return our flight network to a six connecting-bank hub structure, which will enable us to operate more efficiently and to continue adding frequencies and destinations. If our current plan holds, we should be operating more than 60 destinations by the end of the second quarter compared to 80 before the pandemic. Jose will provide a more detailed outlook for the second quarter, which will include specific capacity figures, our latest revenue assumptions and an update on our cash consumption projections. Regarding our fleet, it was a very busy quarter. We received six previously built and stored 737 MAX 9 and delivered four Embraer-190s to their new owner. As per our fleet trend, we expect to deliver the last four Embraer aircraft in the second quarter and receive two more 737 MAX 9 in the fourth quarter, which would have us ending the year with a fleet of 83 aircraft. I'd like to reaffirm that we have a proven and strong business model, which is based on operating the best and most convenient network for intra-Latin America travel from our Hub of the Americas, leveraging Panama's advantageous geographic position with the region's lowest unit cost for a full-service carrier, best on-time performance and strongest balance sheet. Going forward, the company expects that its Hub of the Americas will be an even more valuable source of strategic advantage. It's likely that fewer intra-Latin America market will be able to sustain direct point-to-point service, so we believe that Hub of the Americas will be the best position to serve this market. Now, I would turn it over to Jose, who will go over our financial results in more detail.
Jose Montero: Thank you, Pedro. Good morning, everyone. I hope that you and your families are safe and doing well. Thanks for being with us today. I'd like to join Pedro in acknowledging our great corporate team for all their efforts and great spirit during these very challenging times. I'll start by going over our first quarter results. Our capacity came in at 2.5 billion available seat miles, which amounts to about 39% of the capacity operated during the first quarter of 2019. Load factor came in at an average of 69% for the quarter. We reported a net loss of $110.7 million or $2.60 per share. Excluding special items, we would have reported a net loss of $95.1 million or $2.23 per share. Special items for the quarter are comprised mainly of an unrealized mark-to-market loss of $15.7 million related to the company's convertible notes issued in 2020. In terms of operating results, we reported a $77.1 million loss for the quarter, an improvement over the operating results for the fourth quarter of 2020. And our cash consumption for the quarter came in better than expected at an average of $23 million per month, driven mostly by improving sales for travel during the second quarter. A significant part of our focus as a company is in our costs. Our unit costs, excluding fuel, for the first quarter came in at $0.085 per ASM. We continued operating more efficiently in terms of passenger servicing as well as in terms of our administrative and other overhead expenses. And we are poised to achieve a sub $0.06 CASM ex-fuel once we reach our pre-COVID-19 capacity. I'm going to spend some time now discussing our balance sheet and liquidity. As of the end of the first quarter, we had assets of close to $4.1 billion and our cash, short and long-term investments ended at $1.2 billion. We also ended the quarter with an aggregate amount of $345 million in unutilized committed credit facilities, which added to our cash, brought our total liquidity to more than $1.5 billion. As to our debt, we ended the quarter with $1.7 billion in debt and lease liabilities. The increase in our debt balance compared to the end of 2020 is related to the financing of seven 737 MAX 9 aircraft received between December 2020 and March 2021. As for our fleet plan, during the first quarter, we received six 737 MAX 9 aircraft. We also finalized the sale and delivery of four Embraer-190s. And as of today, we have delivered 10 out of the 14 aircraft we agreed to sell to a third-party and expect to have delivered the entire E-190 fleet by June of 2021. We ended the quarter with 81 aircraft; 68, 737-800s; and 13, MAX 9s. Including these figures are 16, 737-800s, which will remain in temporary storage until demand trends call for additional capacity. We expect to receive two more 737 MAX 9s during the fourth quarter of 2021 and expect to end the year with a total fleet of 83 aircraft. As to our outlook for the rest of 2021, we are still in a very uncertain and unpredictable demand and operating environment. And as such, we will not be providing full year guidance. However, based on preliminary results for the month of April and the current state of demand environment and air travel restrictions, we can provide the following outlook for the second quarter of 2021 as compared to the second quarter of 2019. We expect capacity to be approximately 45% of Q2 2019 levels at about 2.9 billion ASMs, a 17% increase quarter-over-quarter, and revenues to be approximately 40% of Q2 2019 levels at about $260 million. Given these operating conditions, and assuming an all-in fuel price of $1.95 per gallon, we expect our cash consumption for the second quarter to be in the range of $10 million to $15 million per month. Let me close by stating that once this most challenging situation passes, we believe Copa's Hub of the Americas will remain as the best connecting point for travel in the region, with a pretty niche location and even more efficient business model with lower cost and the best team in the industry. Thank you. And with that, we'll open the call to some questions.
Operator: [Operator Instructions] Your first question is from the line of Hunter Keay of Wolfe Research.
Hunter Keay: Hey, good morning everyone. Thank you.
Pedro Heilbron: Good morning.
Hunter Keay: I appreciate that you're not going to want to give full year guidance at this point, but the second quarter revenue guide was quite strong, I thought, relative to what I was expecting, and particularly relative to the first quarter. So can you help me frame out how you're thinking about that trajectory into the back half of the year, if these current trends continue? And if it's not a revenue commentary, maybe just help me think about sort of capacity as you're exiting 2021. Thank you.
Pedro Heilbron: So let me start, Hunter, and then I'll let Jose add some comment. So I think, as we have mentioned in the past, it's really very, very difficult to predict the future under the present conditions that we're dealing with, including travel restrictions by many countries and shifting demand patterns. And that's why we're only talking about Q2 and not the rest of the year. But we have enough flexibility in our fleet to add capacity on short notice as we see demand coming in. So we would expect, for the second half of the year, to maybe this growth trend that we're talking to between Q1 and Q2 to accelerate somewhat, maybe even as much as doubling the growth pace that we're seeing right now but it's really hard to predict as we speak.
Jose Montero: Yes. I think that, Hunter, demand is increasing as of today but we have seen this before, and there's still a level of uncertainty in terms of the behavior of the virus in the region. So things are still volatile, as Pedro mentioned. But as of today, for the second half, we could see a sort of the same trend that we're seeing sort of the first quarter into the second half as well. But that's, again, we have to just really be mindful that it is the picture that we have today.
Operator: Your next question is from the line of Stephen Trent with Citi.
Stephen Trent: Yes, good morning everybody and thanks for taking my question. Just one or two quick ones for me. I was intrigued, Pedro, you mentioned the kind of inability of many to do point-to-point, especially in that region. But what sort of competitive trends or opportunities are you seeing for Wingo? And then the second question, if you could just refresh my memory. You guys were running - have been running four daily flight banks and you're going to six by the end of June, if I heard that correctly?
Pedro Heilbron: Yes, that is correct. I'll start with the second question. So we've operated a six-bank hub since...
Jose Montero: 2011.
Pedro Heilbron: Yes. Since 2011, we've been operating on six banks. We've obviously reduced all of that since the pandemic started but we're going back in June. By the end of June, we'll be back at six banks or at least that's our intention, which will give us a lot more flexibility in putting together a better network for scheduling flights in a more efficient and effective way. So it's not that, that's going to drive our growth, but it will drive a better schedule and better rotation of aircraft for the remaining of the year. And then in terms of Wingo, so Wingo started pre-pandemic with four 737-800s and is now operating six 737-800s. So we've actually increased capacity by about 50% since the pandemic started and have opened a few new domestic and international markets. So they're still affected by the pandemic. Colombia, of course, is still affected, even though domestic markets have recuperated a little bit better than international market but Wingo did see an opportunity to strengthen their network and they've done so.
Stephen Trent: Okay, let me leave it there. Thanks very much guys.
Pedro Heilbron: Thank you, Stephen.
Operator: Your next question is from the line of Pablo Monsivais with Barclays.
Pablo Monsivais: Hi, thanks for taking my question. First, I believe it is kind of a little early to tell, but can you please provide some color on the path to recover your profitability levels after COVID? How should we expect yields to perform in light of lower corporate demand? And perhaps with weaker FX and higher oil prices, how are you going to pivot from low margins to the margin that you have pre-COVID? Thank you.
Jose Montero: Yes, Pablo, this is Jose here. So I would say that we have to take a basis on where do we think - what's the path to sort of bring our revenues - our unit revenues from the place where they are today into a lower dilution and how we will match our capacity to sort of that revenue environment. So I think that, if we assume that, in the medium term, our unit revenue dilution is sort of in the mid-teens, we could reach an operating P&L breakeven at 60% of our pre-COVID capacity. And I think that, taking that a further step, if we were to assume unit revenues being at their pre-COVID levels, we could reach our pre-COVID level of operating margins in the teens at a much lower capacity than we had than the pre-COVID-19 levels. So we could be at maybe 60% to 70% of our pre-COVID capacity. Assuming a zero-revenue dilution, we will be achieving our pre-COVID sort of mid-teen operating margin levels. So that's, I mean, just to give you some of the framework where we are at. And of course, that's a function of all the efficiencies that we're working in, in terms of our costs going forward.
Pedro Heilbron: And Pablo, I'll add to that. You asked for some color. So, a lot of the work we've put in since the pandemic started to make the company more cost-efficient is with the new reality that you referred to in our mind. So there's going to be less business traffic for a while, yields are going to be affected, but if we can deliver lower costs, which is our intention, then we'll be able to have the same success as before or even more, at a yield - at a revenue dilution or a yield dilution over pre-pandemic.
Operator: Your next question is from the line of Duane Pfennigwerth with Evercore.
Unidentified Analyst: Good morning this is actually Ray [ph] on for Duane. As you look across the - as you look across your portfolio markets in light of travel restrictions and re-openings, which are getting better and easier to predict and which are harder to plan as compared to the 1Q commentary that you laid out earlier in your press release?
Pedro Heilbron: You mean in terms of markets?
Jose Montero: In terms of restrictions and markets.
Pedro Heilbron: Yes, it's really hard to predict.
Unidentified Analyst: Yes, if you could have laid out across countries and just kind of update to understand, yes.
Pedro Heilbron: Yes. So right now, for example, there are very strict restrictions in places such as Argentina, Chile, Venezuela, Cuba, even some in Panama for South American travelers, not flight restrictions, right. But then these other countries I've mentioned, in most of them, flights are actually restricted. So it's anyone's guess when those restrictions will be lifted. They will be lifted, of course. They will control the virus. Things will get better. We know that, but it's very difficult to know that's going to happen in July, in September, or who knows. And in many cases, those are new restrictions that were not in place at the end of last year. So - and there could be other countries enforcing new restrictions as things change. But I would say that, directionally, I think, even though there's like something like a third wave in many countries of the virus, I think, directionally, we're going in the right direction in terms of vaccination rates and travel demand and getting things under control.
Unidentified Analyst: And if I can just sneak one follow-up here. I appreciate you giving us the deliveries for the balance of the year but could you also maybe give us some of the corresponding CapEx around that and also the CapEx and deliveries for '22? And as related, what do you think the balance between these and owned would be?
Jose Montero: Yes, Ray, the CapEx for 2021, including the airplanes that we were already taking delivery of, so talking about full year total CapEx, it's going to be around $450 million. And that's - most of the aircraft, there's a portion of it that is cash CapEx that is associated with maintenance events and IP investments, etc. That's around 50 out of that 450. And then for next year, you could assume that it's going to be between 350 to 400 total CapEx again, both including aircraft and another type of CapEx. So that's basically where we're at. You had another follow-up on that. What was the second question that you asked, Ray? All right, we'll get in touch with you to answer the other question that you had. All right, I guess we're going to the next question.
Operator: Your next question is from the line of Mike Linenberg with Deutsche Bank.
Mike Linenberg: Hey Jose, Pedro - Joe, my one question is just a modeling question here. Obviously, the tax is basically zero. And I'm just curious whether or not have you taken a valuation allowance against your deferred tax asset to the extent that now you're not going to be booking any tax credits? Is that what's going on forward or was this just - there's some sort of anomaly or timing difference in this quarter, and next quarter, we should just assume it moves back to 10%? Thanks.
Jose Montero: Yes. Yes, it's a timing - the specific line that we put into the fourth quarter was a loss carry-forward that got booked. That usually gets done at the moment where we have a clear visibility about the performance of the entire year, so it's done toward the end of the year. So it's just simply timing, so the difference that we saw in the tax line in this quarter was purely timing. And it would depend on if there's further sort of tax credits or tax loss carry-forwards that we declare depending on the performance of the entire year. And they will usually be put in, in the fourth quarter, so that's kind of how that works here.
Operator: Your next question is from the line of Savi Syth with Raymond James.
Savi Syth: Hey, good morning. I'm just kind of curious relative to your kind of what you're seeing from a selling standpoint today. How much of your kind of current ATL is in terms of vouchers? And kind of what percent of that, what you're selling today, is in the kind of the form of vouchers? And somewhat related to that is, kind of curious if you're seeing any change in business demand recovery.
Jose Montero: Yes. In terms of ATL, the vast majority of the growth that we saw - I think we had a growth in the quarter of about $5 million in the ATL, and it's purely - I would say, most of it is cash coming in. So we have the majority of it is cash. There is a portion, but it's a minor portion that's associated with vouchers and the like for future travel. The majority of it is actual cash coming in, yes.
Pedro Heilbron: And we're not seeing a significant recovery in business demand. Of course, there is more business demand than some months ago, but nothing significant yet. It's mostly VFR and leisure.
Savi Syth: And Jose, is the ATL mix, how much of the ATL is vouchers today?
Jose Montero: I think it's less than 10% probably at most, yes; 10% to 15%.
Operator: Your next question is from the line of Alejandro Zamacona with Credit Suisse.
Alejandro Zamacona: Hi, Pedro. Hi, Jose, Raul. Thank you for the call. Just a question in terms of the traffic recovery and the city pairs or routes. So which markets continue closed at this point and what's the expectation to open them? And perhaps, is the expected recovery maybe more driven by the reopening of routes or by increasing capacity of the existing routes? Thank you.
Pedro Heilbron: Yes. So I mean most markets are open, but some, as I mentioned before, are very restricted in terms of how many frequencies we can operate to markets such as Venezuela, Argentina, Chile and others I had mentioned before. They have restrictions that don't allow us to operate more than a few frequencies per week, whereas before we would have had multiple frequencies per day, and that's impacting demand. And there are also other travel restrictions around the region. In the markets that are open, like the US and the Caribbean, for example, we're seeing a stronger demand than in the restricted markets, as it would be expected.
Alejandro Zamacona: Thank you.
Operator: Your next question comes from the line of Joseph DeNardi with Stifel.
Joseph DeNardi: Thanks. Good morning. Pedro, you mentioned in your prepared remarks that you think fewer markets will be able to support point-to-point post-COVID. Can you just elaborate on that? Kind of why do you think that?
Pedro Heilbron: Yeah, our hub has always distinguished itself by connecting a large number of small city pairs. Over 70% of the city pairs we connect have less than 20 passengers per day each way. Post-pandemic, we expect city pairs that have enough traffic, that don't fall maybe within that 70% but even some that do, that pre-pandemic had enough traffic for nonstop service. And I am not saying in every city pair, I'm just saying some additional city pairs will need a hub and Panama is the best-placed hub to serve those markets. So we think there will be additional opportunities to strengthen the Hub of the Americas. And it could be, again, city pairs that can only be served through Panama, whereas before, they had nonstop flights or city pairs that will be able to sustain much less nonstop capacity than pre-pandemic. And of course, that will change over time but coming out of this crisis, I think the Hub of the Americas in Panama is going to be in an even stronger position to serve all those markets.
Joseph DeNardi: Okay. That's helpful. And then, Jose, maybe just following up on Pablo's question, can you remind us how you're thinking about kind of cost structure post-COVID? I think you had previously said you could get back to pre-COVID CASM ex, with 80% of pre-COVID capacity. Is that still how you're thinking about it? And then just a clarification on ending the year with 83 aircraft, does that include stored or parked aircraft? Thank you.
Jose Montero: Yes. So the first question, Joe, is we think that we'll get sub-6 CASM by the time that we are back to pre-COVID capacity and I think we'll be back to our pre-COVID CASM by the time that we're around 80%. Yes, that's still very much our target, and we're relatively confident about that target. And we've been making a lot of efforts in terms of contract renegotiations and savings and overhead and the fleet moves that we've made, so that's still very much in our radar. And then in terms of the -
Pedro Heilbron: Yes, the 83 aircraft at the end of the year.
Jose Montero: 83 are total aircraft, including the stored aircraft, yes, Joe.
Joseph DeNardi: Thank you.
Jose Montero: And we said - yes, by the way, Joe, I mentioned in our script that we have, right now, 16 airplanes that are under long-term storage and they're included, of course, in the 81 that we have right now. By the end of the year, we'll end up with 83 aircraft, and we'll - we expect right now to have seven under long-term storage by then, including those 83. So we will activate a subset of those 16 aircraft that we have right now.
Operator: Our last question comes from the line of Helane D. Becker with Cowen.
Helane D. Becker: Thanks very much operator. Hi, everybody and thank you very much for your time. As you think about adding cities back to the network, how will you think about adding them back? Will it be a focus of VFR or leisure traffic, cities first? Or how should we think about the shift in mix away from business travel into more leisure and VFR for now?
Pedro Heilbron: So yes, an interesting question, because the cities we've added are, of course, our stronger cities or stronger destination. And those, in many cases, include a significant business travel component pre-pandemic but we're adding a lot fewer frequencies than before. So strong business markets like Panama, Bogota, for example, we're serving a few times per day and pre-pandemic would have been seven or eight times. So even though those are strong business markets, frequencies are way down because of that. But we have opened all those markets because they just, as mentioned before, happened to be stronger routes overall. The ones that we're going to be opening gradually from here to the end of the year and into 2022 usually have, actually, a high leisure and VFR component, but are just much smaller markets than the others. So that's driving the decision more than the mix itself.
Helane D. Becker: Okay. That's very helpful. Thank you. And then the other question I had was, as you're thinking about getting back to profitability, how should we think about the return of capital plans because for a long time until the pandemic, your dividend was an important component of that and obviously, with the pandemic, that's just not the case right now. So how should we think about return of capital in '20 - let's say, a year, a year and half from now, when maybe things are back to some level of the next normal?
Pedro Heilbron: Yes. So we haven't changed our dividend policy. We're just missing the profit part of it and even though I want to talk officially, because we have to see how things develop, but I would expect that once we have the profit component, the dividend policy will kick in. We have strong liquidity. We're in a strong overall position. So that's what I would expect going forward.
Helane D. Becker: Okay, that's very helpful. Thanks Pedro. Thanks Jose.
Jose Montero: Thank you, Helane.
Pedro Heilbron: Thank you.
Operator: There are no further questions.
Pedro Heilbron: Okay. Okay, thank you all. This then concludes our earnings call. Thank you for being with us. Thank you for your continued support. You know where to find us. Please have a great day. Thank you.
Operator: Ladies and gentlemen, thank you for your participation. That concludes the presentation. You may disconnect and have a wonderful day.